Operator: Good morning, everyone. Thank you for holding. And welcome to America’s Car-Mart’s Third Quarter 2015 Conference Call. The topic of this call will be the earnings and operating results for the company’s fiscal third quarter 2015. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30-days. Dial-in number and access information are included in last night’s press release, which can be found on America’s Car-Mart’s website at www.car-mart.com. As you all know, some of management’s comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimates, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company’s annual report on Form 10-K for the fiscal year ended April 30, 2014 and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning, Hank Henderson, the company’s Chief Executive Officer and President; and Jeff Williams, Chief Financial Officer. And now, I would like to turn the call over to the company’s Chief Executive Officer, Mr. Hank Henderson.
Hank Henderson: Well, good morning, everyone, we appreciate you joining us today. We continue to get a lot of questions regarding competition, so I thought we might go ahead and just touch on that first. About two and half years ago, we did in fact begin to experience some significantly increased competition. It’s seemed at the time that almost everyone want to be in the business of loaning money on higher risk auto loans and we began to see some of our customers qualifying elsewhere for financing on higher dollar cars and longer terms than anyone could have previously imagine was possible. At the same time, we were confident that this would be short-lived as we had seen similar cycles come and go in the past, well, obviously that turn out to not exactly be the case and while it may have lined up somewhat from where it was, more this type of financing remains available and was out there few years ago. And while we have offered some slightly longer term as some of our good repeat customers, we have for the most part held the line on what we feel are more practical realistic terms to give our customers the best possible chance of success. We have been in this business long enough to understand very well that in order for us to be successful we must be committed to setting our customers up for the best possible opportunity for their success. We do so by delivering quality vehicles with payment terms that are affordable and not drawn out too long and we support all of that by developing relationships with our customers, so that we can give them help when they needed and work through various challenges that can arise. We have good understanding that this is an imperative of the business we are in and we are confident that this is a part of the business that we can deliver better than anyone. Knowing that, we have continued to grow and as you can see from our recent results, it has served us very well. We continue to opening stores. Since the summer of 2012 when we first began seeing the increase competition, we have opened 24 new stores and actually in the past couple years we have experienced some of the best starts for new stores that we have ever had. On the unit basis our sales for this past nine months compared to the prior year, we are up almost 10% and then on an even more important note, during this past quarter, we also continue to see improvements in our collection. That’s not to say we are satisfied with where we are that we will be for that matter, but nonetheless, it is very satisfying to see that we are headed in the right direction. And we are all well aware that these positive results didn’t just happen. I can begin to say enough about how tireless our general managers, our associates work to make it happen, by taking great care of our customers and creating opportunities for our associates by continuing to grow the company. So I will go ahead and turn it over to Jeff now to give you more detail on our recent results.
Jeff Williams: Okay. Thank you, Hank. As mentioned in the press release, same-store revenues were up 2.8%, revenues from stores in the 10 plus year category was up a little over 2%, stores in the five to 10-year category was up around 1%, revenues from stores less than five years of age was up about 33% to $33 million for the quarter. The overall average retail units sold per month per lot for the quarter was 28. That's up 1.1% from 27.7 for the third quarter of last year, but down from 29.6 sequentially. The sequential decrease of around 1.5 unit was pretty evenly spread among different age categories. Overall market conditions on the sales side were maybe just a little softer for us, compared to the second quarter, which is not that -- all that unusual when looking back in history. But it was nice to see the increase from last year's third quarter. At the end of the quarter 43% or 31% of our dealerships were from zero to five years old, 22% or 16% were from five to 10 years old with remaining 73 dealerships being 10 years old or older. Our 10 year plus lots produced 29.5 units sold per month per lot for the quarter compared to 29.3 for the prior year quarter. That’s a 0.7% increase or about 0.2 units per month per dealership, our 22 lots in the five to 10-year category produced 27.8, compared to 28.4, that’s a 2% decrease and the lots less than five year age category had productivity of 25.4, compared to 23.9 for the third quarter of last year, 6% increased. Competition is still intense and we will continue to focus all of our efforts on customer retention, earning repeat business and offering good quality vehicles that are affordable under rational terms. At this point, we are optimistic that our topline results for the fourth quarter will be solid and we have significantly increased inventory levels in anticipation. We will always strive to try to find just the right sales volume, credit risk balance with the goal of helping as many customers as possible, successfully complete contract terms in owning their vehicles. We remain committed to selling a broad price mix, including less expensive vehicles and will continue to push in that direction. As previously discussed, our new 12 month service contract is having the effect of increasing our overall selling prices. For the quarter, about $100 of the selling price increase related to the new service contract and ultimately we expect another $100 increase as this product gets fully rolled in. We do expect this longer service contract priced at around $600 to help more customers succeed and that is why we did it. About $100 of the sequential price increase also relates to the new service contract and the remaining sequential increase is a fairly normal seasonal increase that we see as we get closer to the tax side. As always, we will focus on basic transportation needs and we know that we compete much more effectively at those lower price points. We will continue to target flat overall selling prices out in the future in our efforts to keep our payments affordable with rational terms and to increase our customer success rates. However, we would note that we did experience very high levels of competitive pressure during last year’s fourth quarter, which disproportionately affected our older more mature dealerships that sell overall higher priced car. Our efforts to gain market share in all price points, including less expensive, more affordable vehicles is key to leveraging our fixed cost structure and more importantly to build a solid base of future repeat customers. Our down payment percentage was 5% for the quarter that's up from 4% from the prior year or little over $80 per transaction. Higher down payments do contribute to better credit results in the future. Collections as a percentage of average finance receivables improved once again for the quarter to 13.8% from 13.3%. This is the third consecutive quarter for improved collection percentages. Our average initial contract term was up to 27.9 months compared to 27.4 months for the prior year quarter and up just a little bit from 27.5 sequentially. While we will always work hard at keeping the term length down and customer equity up to help success rates, we’re also focused on affordability of the payment in light of the competition. Our more experienced managers have been given a little more room on the term in an effort to increase volumes at our older dealerships, which have been the most affected by increased competitive pressures. With that said, we don't consider the slightly longer originating term to be negative. Our weighted average contract term for the entire portfolio including modifications was 29.7 months, which was up slightly from 29.5 for the prior year and up from 29.6 sequentially. The weighted average age of the portfolio was 8.5 months at the end of the current quarter compared to 8.4 months at this time last year. For competitive reasons, our term lengths may continue to increase some but we are committed to minimizing any increases. Interest income for the quarter was up as we had $24 million more in average finance receivables. Interest rate was flat at 14.9%. Gross profit margin percentage for the third quarter was flat at 42.7 and in line with our internal expectations. Our goal is to always balance affordability for our customers with appropriate gross margin percentages to enhance success rates. And we do expect gross margin percentages to remain generally in the current range over the near-term. For the quarter, SG&A as a-percentage of sales was 18.2% compared to 18.1% for the prior year quarter, $1.5 million increase in overall SG&A dollars compared to the prior year related primarily to higher payroll costs and other incremental costs related to new lot openings and infrastructure investments to support our growth, mostly in the IT and compliance areas. Additionally, we did incur about $600,000 in GPS expenses for the quarter, that's up from $400,000 for the prior year quarter and we ended with over 80% of our accounts having the product. We are still working on our operational efficiencies with the GPS product itself. And we were hopeful that we will get the cost down closer to $3 per account per month but we’re currently operating closer to $4 right now. We will always aggressively manage expenses and continue to expect some SG&A leveraging in the future as we grow our revenues. Net charge-offs for the quarter as a percentage of average finance receivables was down to 6.5% from 6.7%, the decrease for the quarter related to a slightly lower frequency of losses and lower severity. The lower severity of losses resulted from a combination of factors, including accounts being little older at lost point. The fact that accounts that were lost were weighted to past period where the average amount financed was little lower when compared to the prior year quarter, which resulted from higher down payments and lower selling prices and our improved collections, leaving less to lose at lost point. These positives were offset by lower wholesale value at repo, which did have a slight negative effect on severity for the quarter. Competitive pressures at the point-of-sale and at default point continued to be high, but as we mentioned in the press release, things maybe getting just little better when compared to the recent past. The peak of competitive pressures for us may have been about 12 months ago, which led to a significantly higher charge-offs in the fourth quarter of last year, as our customers were aggressively targeted just before and during tax time last year. So we are hopeful that this year’s fourth quarter losses trend positive, back in the general direction of what we've seen historically. And we are working very hard internally to make that happen. Again, as we expected, we're seeing a leveling off of our losses on a quarter-to-quarter basis and we are hopeful that our hard work on the collection side of the business and our better deal structuring will lead to higher customer success rates down the road. Principal collections as a percentage of average finance receivables for the quarter was 13.8%, that's up from 13.3%. The increase in principal collected between periods resulted from lower delinquencies. The average age of the portfolio was a little older. Contract modifications were down significantly and the fact that some of our customers did receive some income tax money at the very end of this year's third quarter and lower gasoline prices certainly didn't hurt. Also, we think our lot level execution with collections is getting a little better. The average percentage of AR current for the quarter was 80.8% that compares to 79.3% and our accounts over 30 days past due were down to 5.2%, compared to 5.8%. The average term increase on our portfolio did have a slight negative effect on collection results for the quarter. Credit losses on the income statement was down to 26.8%, excluding the effect of the reserve increase we made last year to 25.9% this year. We saw nice improvement for our 10 plus year old dealerships. Again, maybe that’s an indication in a slightly better competitive environment, offset by slightly higher losses on our 5 to 10-year-old lots and our less than 5-year old dealerships. The negative overall credit loss effect from the shifting of the average age of the dealerships was around 25 basis points for the quarter. At the end of January, our total debt was $113 million. That's actually down from $114 million at this time last year. And during the fiscal year, we've increased financed receivables by almost $46 million. We’ve had $2.8 million in CapEx, opened four lots and hoping to open four more here soon. We’ve repurchased almost 14 million in common stock and we have $8 million more in inventory in an effort to support our fourth quarter sales effort. We had $33 million in additional availability under revolving credit facilities. Current debt-to-equity ratio is 49.8% and debt finance receivables were 26.5%. We did repurchased 66,000 shares for $3.4 million during the quarter and we've repurchased 3.5 million shares or 30% of our company since February 2010. As good as all that sounds, we are not content and we will keep pushing for improvements in all areas of the business. Now, I will turn it back over to Hank.
Hank Henderson: Yeah. Thanks, Jeff. I would be remised but I can you tell you that some of behind-the-scenes challenges we’ve had that made these results even all the more impressive. I’m certain that everyone around here would agree. It seems we've been through more policy updates, procedure changes and software conversions over the course of this past year than we’ve been through in the previous 10 years combined. Quite sometime back, I told you that we were in the process of completely rewriting our operational software and this undertaking was not just enhancing what we had, but rather building in an entirely new system that handles all of our inventory management sales quotes, credit information, sales docs, payments, customer information reports, collections and so on. And I probably made the mistake of telling you about that, about a year or two early as we had apparently imagined the magnitude of the project to be only about half of what it really was because it ended up taking as twice as long and costing twice as much as originally planned. Despite that we underestimated the time and dollars required, it is an excellent product that is going to be tremendously beneficial for our company. That doesn't make all that to go into converting to a new system any easier. A lot of people have put an incredible amount of time and effort to make this happen and doing all that in addition to their normal responsibilities and it has been quite a stress test as a team. There have been more than a few days around here and we think we’ve all have gotten on each other’s last nerve. The question was whether or not this was really ever going to come to pass but it has. We’ve stepped up our rollout and now have about 70 stores on this new system and on track to have all stores on it by the end of March. Operating on two different systems does create a lot of extra work for several people here. So, we will definitely have calls for celebration when we get this project completed. And I do want to express our great appreciation to those individuals, who have seen this project through and recognized the extra mile they have gone in making this happen. There have been many long nights and weekends put in. And as for some, this was a lot of work again above and beyond the already full load of responsibilities. In addition to the software conversion, we’ve been implementing our new compliance management system. And as you can imagine, that involves numerous policy updates for business to manuals and a tremendous amount of training and retraining. Any of these projects can be trying by themselves, but at the time when we have it, we have been pushing it more than is really ideal lately as many of these projects have been coming together at the same time. But through it all, we’ve continued to not only improve the functions of our business, but to actually improve our business itself and it takes quite a team to pull that all and we do indeed have an impressive team of dedicated, very intense people around here and we are very, very fortunate. So that concludes our prepared remarks. Now we would like to move on to your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Elizabeth Suzuki from Bank of America. Your line is open. Please go ahead.
Elizabeth Suzuki: Good morning. Have you noticed a meaningful impact from lower gas prices on either your customers’ ability to make their payments or their ability to buy a higher price car?
Hank Henderson: It’s a little hard to tell. So far, we have seen a continuation of improved collection results. And so we are optimistic that the lower gas prices are having an effect, but I think it’s a little early to tell. It seems that initially when prices did go down, we saw an initial bump on the sales side maybe and things have sort of left the level off again. So it’s just a little bit hard to tell, but I think some of our improved results can certainly -- on the collections side, it can certainly be attributed to our customers having more cash in their pockets.
Elizabeth Suzuki: Great. And it’s been about four quarters now since you stepped up the allowance for credit losses and it seems like charge-offs are improving. So at what point you decide whether you’re over-provisioning and use that allowance somewhat?
Hank Henderson: Yeah, of course we look at that reserve at least quarterly and it’s something that gets reviewed in the significant detail. And when we make an adjustment like we did a year ago, we tried to sit there at a level that we expect to be the run rate until we see significant and sustained trend that we point in a different direction. And even though our credit losses are little bit than last year, they are still much higher than we would like to see -- much higher than we’ve seen historically. And so we are not in any position now to say that at some point bringing that reserve then might be appropriate, it might be, but we are not there on reduced charge-off levels yet to support any reduction in the reserve at this point.
Elizabeth Suzuki: Okay. Great. And just one more quick one, have there been any CFPB investigations into Car-Mart, because DriveTime was recently find and it seems like the CFPB scrutiny of lenders like Ally and Santander is increasing? So just wondering if the CFPB has contacted or investigated Car-Mart at all?
Hank Henderson: No.
Elizabeth Suzuki: Great. Thank you.
Operator: Thank you. Our next question comes from J.R. Bizzell from Stephens. Your line is open. Please go ahead.
J.R. Bizzell: Good morning. And congrats on another great quarter.
Hank Henderson: Thank you.
J.R. Bizzell: Just building on collections, I know she asked about gas prices before. And I am just wondering, I know that’s probably helping a little bit. I am wondering the GPS initiative, how much of that is kind of flowing through? Are you seeing some nice uptick from kind of the more mature stores? Are across the board is GPS helping in your opinion? And when do we fully expect that to be ramped up and fully realized?
Hank Henderson: Well, yeah, J.R., we are a little over 80% rolled in now and we will be closer to 100% within the next six months or so, on that product being rolled out. We are seeing some real efficiency gains from the use of the product and we feel like credit losses over the last year would certainly have been a little higher without the product. We are not seeing any real direct savings at this point. But from an efficiency standpoint, and also from the company’s ability to just find collateral when we need to, especially in this regulatory environment oriented, certainly something that we had to do and we are glad we did. And we do expect more benefits down the road as the product gets fully rolled out. We learn how to use it a little better. And so it has certainly been a positive, but it’s more been from an operational efficiency standpoint to this point.
J.R. Bizzell: Right. And switching gears here and I know you gave us some nice detail on kind of the uptick in average sales price. But last quarter affordability was kind of you are all focused affordability they’re offering and as you move forward, that’s kind of your goal. And I know outside of the new service contract, just wondering if you could go in a detail about your comfort levels around, what you’re having to buy the cars, the used car at the auctions? I’m wondering if you could go into some detail on what you’re buying, what the customers want to buy, and then ultimately how comfortable you are with the aging mileage as you kind of see this term uptick to stay in the competitive space?
Hank Henderson: Well, obviously, we talked about throughout this past year we’re offering more what we would describe as our lower dollar cars. And of course as you would expect, those are going to be a little older and have a little bit more miles on them, so there is some tradeoff, but they’re much more affordable and we think that’s the key. Certainly cars these days can have a lot more miles than they could a few years ago. So we feel really good about the quality of our cars. And we feel very strongly that what our customers need most is affordability. And I think that we’re meeting that quite better now than we were about two years ago, actually.
Jeff Williams: And I would say, J.R., we mentioned it in my script, as we get a little better from a competitive standpoint, a lot of that improvement is expected to come at those older dealerships, which do sell a higher price car. So the ASP may come just from the fact that those lots, they were most affected over the last few years. They may see a little relief on the competitive side and volumes at those older dealerships. So we hope we’ll continue to come back up.
J.R. Bizzell: Great. Thanks for the detail. And last one for me, I promise. I know last quarter Hank, you talked about middle management and how you’ve really been focused on leveraging them and they really performed well last quarter. And it looks like it’s continued and you continue to read those nice rewards as we move into this quarter as well. I’m just wondering from their standpoint and then trickling down to kind of that manager of a lot standpoint. I know that turnover has been low. Just wondering how that’s going? Are you still seeing them outperform and most of them hit their goals kind of like you saw last quarter?
Hank Henderson: Yeah. Absolutely, for our area managers specifically, so we’re talking about that middle layer. And we definitely have a long way in the course of past couple years and yes, we continue to do better and better and can’t play enough good things there. Candidly, these past few months we did see a little bit of an uptick in our general manager turnover, so we’re all over there. We’re still a much better than we were a year ago, but in recent few months, we have seen a little bit of an uptick with that. And so we’re all over that and that is a concern and we’re going to keep that in line. But we do expect in this year far better than we did on prior year in that area, but that’s a good question. Thank you.
J.R. Bizzell: Yeah. Thanks for the detail, guys. And congrats again on the quarter.
Hank Henderson: Thank you.
Operator: Thank you. Our next question comes from John Rowan from Sidoti & Company. Your line is open. Please go ahead, sir.
John Rowan: Good morning, guys.
Hank Henderson: Good morning.
John Rowan: Just with the improvement in cash collections, any though as to when or if you all start pulling back on durations to manager back down to more historical number?
Jeff Williams: We’d love to and most of that is going to be driven from the competitive side of things, as long as we’ve got folks in our market offering longer terms than we’re comfortable with. We’re going to have to get a little closer to them. We never -- we think that benefit of what we do is we’re at some premium but from a customer standpoint that payment has to be pretty close. So a lot of that is a little out of our control, but we’d love to get that term back down.
Hank Henderson: And then we’ll also -- we tied as well if we see the -- our ASP go up.
John Rowan: Okay.
Hank Henderson: Obviously, hard to keep it pushdown itself perhaps goes up so.
John Rowan: Okay. And then just kind of circling back to the discussion on competition, you’re obviously not the only sub-prime auto finance company, but as noted a reduction in competition? And obviously, your other peer said that, in the ABS market they’re seeing lower subscription rates for deals that are back by similar type of paper? So I’m curious just from a 10,000 foot view, is that kind of what you’re seeing and you would attribute to lower competition? What are you seeing now that’s driving the reduction in competition?
Jeff Williams: Well, I think, the securitization market is still very strong and the pricing even though the interest rates for companies have gone up just a little bit. The rates that are being paid on those loans are still really low, but it just been around the fringes so far. It’s more when you put everything together and you see our better down payments, our lower 30-day delinquencies, our higher collection and lower charge-offs and then you -- when you talk to folks in the field, we are just seeing a little less pressure and a little less silliness than we saw 12 months ago. It’s -- but the competition is still out there, the securitization market is still very strong and it’s up to us to just keep operating the best we can, helping these customers cross that finish line successfully and -- but it’s been just around the fringes so far as far as a little less competition out there.
John Rowan: Okay. Thank you very much.
Jeff Williams: Thanks.
Operator: Thank you. Our next question comes from Kyle Joseph from Jefferies. Your line is open. Please go ahead.
Kyle Joseph: Good morning, guys. Thanks for taking my questions and congratulations on a great quarter. And also let me apologize I was hopping on and off the call surpassed, something that’s already been asked, I apologize in advance.
Hank Henderson: Okay.
Kyle Joseph: Jeff did you guys give the average term this quarter?
Jeff Williams: Yeah. We did.
Kyle Joseph: Okay. All right. I can look in the press release for that.
Jeff Williams: Yeah.
Kyle Joseph: And then just can you guys give us an idea how you guys gauge competition in the market, is it sort of the foot traffic you are seeing in your stores or is it sort of the terms that composite customers are reporting that they are getting from others?
Hank Henderson: For the most part, I would say, it’s whether our managers are hearing from customers but we also talk to directly to some of our local dealers and get a feel for what they have to say, what they are experiencing. But yeah, I’d say for the most part it’s the feedback of or customer through our managers.
Jeff Williams: And it does vary quite a bit, each of our businesses that are operated independently and they have to be able to react to what’s going on in their market. That’s -- and each market is a little different, sometimes a lot different.
Kyle Joseph: All right. And then, can you guys give us sort of your outlook for the tax refund season, I’ve been reading a fair amount of articles that the tax refunds were less delayed this year. Then I’ve read some articles that tax refunds are bigger or smaller. What’s your outlook for tax refund this year compared to last year?
Jeff Williams: We anticipate similar results than we saw last year. The timing was a little different. We actually saw refunds coming a little earlier this year for our customers than last just a couple of days. As far as the quarter, we actually got some tax money in it at the very end of our third quarter. And in the prior couple of years, it’s been on into February. But overall for the entire season, we expect things to be pretty consistent with what we saw the last couple of years and the refund amounts themselves. I think we are expecting those to be about the same also. So no big change there.
Kyle Joseph: All right. And then lastly, can you guys give us your outlook for used car prices. There was a lot of talk earlier this year that used car prices we are going to start to plummet but Manhattan has been strong, just sort of your next 12 month outlook for used car prices. Any potential impact on your business?
Jeff Williams: We are expecting prices to be basically flat over the next, I think may be six months to a year. I think at one point we thought may be those prices might go down a little more. But we have seen some price decreases over what we saw few years ago. But maybe it’s leveled off and we are not expecting any big changes on what we have to pay for inventory over the near term.
Kyle Joseph: All right. Great. That’s helpful. And thanks for answering my questions and congratulations again on another good quarter.
Jeff Williams: Thanks Kyle.
Operator: Thank you. Our next question comes from Bill Armstrong from C.L. King & Associates. Your line is open please go ahead.
Bill Armstrong: Good morning Hank and Jeff. Just another one on the IRS refund, so the refund season began earlier this year because they were delayed a year ago with that 2.8% comp that you reported in the January quarter, is there any way of gauging how much of that might have been from your customers getting early refunds or was that not really material?
Jeff Williams: Yeah. I wouldn’t say on the sale side it was very material as far as units sold that Friday -- the last Friday and Saturday there of the quarter is when some money did show up. So we may had a few more sales that directly relate to that, but it probably wasn’t much. It probably had a little better positive effect just on collections for the quarter. Just in the fact that we did have some special payments out there and that money came in a little sooner than prior years. So I would say the effect was probably little more pronounced on collections and not so much on the sales side.
Bill Armstrong: Got it. Okay. And in terms of store expansion in your release, say, you’re looking to pick up the pace of the new openings a little bit in fiscal ‘16, which I think the worry maybe a little different than in the past. So are we looking, still looking for return to that kind of 10% growth rate, you targeted in the past or it might be a little bit less?
Hank Henderson: It’s probably as next year, this probably is going to be a little bit less than 10%, we’re going to gauge it for next year, little faster rate than this year but not quite to 10%.
Bill Armstrong: Okay. Any particular reason for that, in terms of -- are you getting a little more cautious on the market or it is just real estate availability or….?
Hank Henderson: It has more to do with people. As I mentioned earlier, that we had gone through a time with some turnover with the general managers. And I think some of that can be related to the development, training, that sort of thing. And so as I said, we are committed to that being a priority for us and so we are going to little bit more concerned on that side. So, I would say it is more a people issue. We are going to be more careful.
Bill Armstrong: Got it. Understood. Okay. All the rest of my questions have been answered. Thank you.
Hank Henderson: Thank you, Bill.
Jeff Williams: Thank you.
Operator: [Operator Instructions] And our next question comes from Doug Greiner from JMP Securities. Your line is open. Please go ahead.
Doug Greiner: With the push to sell lower-priced vehicles, are you seeing lower quality borrowers participate in buying those vehicles? I’m just wondering if there's more credit risk building in the portfolio as you sell lower-priced cars.
Hank Henderson: Actually to the contrary, I think when we look at the customer, of course, one of the things that makes that deal good is the affordability. And so with a lower-priced car you can actually have a better deal because it fits more into their budget. So, we’ve not had a decline in that regard.
Jeff Williams: And now, we did have an internal scoring system and we are seeing some improvements, not huge improvement but some improvements in overall scoring for the customer base compared to this time last year.
Doug Greiner: And then just one more switching gears on the unit volume growth per store. Would you just clarify how much slowed due to softness versus what was seasonal? Thanks.
Jeff Williams: Well. That’s a little hard to quantify specifically. But if you look back in our history it’s not unusual at all to see a little bit softer third quarter than second. So, I’d have to go back and try to quantify that. I don’t have that handy. But it's not unusual to see that a little softer for the third quarter.
Operator: Thank you. I’m showing no further questions on the phone line at this time, gentlemen.
Hank Henderson: All right. Well. Thanks again to everyone for joining us today and we will get back to work. We’ve got a little bit of snow and ice to clean off some of our stores, finish out this month and finish out this last quarter in good fashion. So, thank you all.